Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to FuelCell Energy Third Quarter 2023 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Tom Gelston, Senior Vice President, Finance, and Investor Relations, you may begin your conference.
Tom Gelston: Thank you and good morning, everyone and thank you for joining us on today's call. As a reminder, this call is being recorded. This morning FuelCell Energy released our financial results for the third quarter of 2023, and our earnings press release and our SEC filings are available in the Investors section of our website at www.fuelcellenergy.com. Consistent with our practice, in addition to this call and our earnings press release, we have posted a slide presentation on our website. This webcast is being recorded and will be available for replay on our website approximately two hours after we conclude the call. Before we begin, please note that some of the information that you will hear or be provided with today will consist of forward-looking statements within the meaning of the Securities and Exchange Act of 1934. Such statements express our expectations, beliefs, and intentions regarding the future and include without limitation; statements with respect to our anticipated financial results, our plans and expectations regarding the continuing development, commercialization, and financing of our FuelCell technology, and our business plans and strategies. Our actual future results could differ materially from those described in or implied by such forward-looking statements because of a number of risks and uncertainties. More information regarding such risks and uncertainties is available in the Safe Harbor statement in the slide presentation and in our filings with the Securities and Exchange Commission, particularly with Risk Factors section of our most recently filed Annual Report on Form 10-K and any subsequently filed quarterly reports on Form 10-Q. During the course of this call, we will be discussing certain non-GAAP financial measures and we refer you to our website and to our earnings press release and the appendix of the slide presentation for the reconciliation of those measures to GAAP financial measures. Our earnings press release and a copy of today’s webcast presentation are available on our website. Again, it's www.fuelcellenergy.com under Investors. For our call today, I am joined by Jason Few, Fuelcell Energy's President and CEO; and Mike Bishop, Executive Vice President and, Chief Financial Officer, and Treasurer. Following our prepared remarks, we will be available to take your questions and be joined by other members of our leadership team. I would like to now hand the call over to Jason for opening remarks. Jason?
Jason Few: Thank you, Tom, and good morning everyone. Thank you for joining us on our call today. Today we are pleased to announce another quarter of strong operational execution. We will highlight our consistent progress on fee projects and strategic objectives, including the commissioning of our Tri-generation distributed hydrogen platform at the Port of Long Beach, California, the extension of our firm of our joint development agreement with ExxonMobil Technology and Engineering Company or EMTEC, as well as our success in reentering the Korean market. For anyone who may be new to the FuelCell Energy story, we have included a Company overview on Slide 3. Our purpose is to enable a world empowered by clean energy. We are proud to be a global leader in clean energy technology. In simple terms, our proprietary FuelCell Technology platforms do two things, decarbonize power and produce hydrogen. We operate in North America, Asia, and Europe, and we are focused on entering additional markets around the world. We have 95 platform installations in commercial operations and have generated more than 13 million megawatt hours today. The technology behind these high temperature electrochemical energy platforms underpins both our Tri-generation and carbon capture platforms, which we believe enables FuelCell Energy to leverage 20 years of operating history and sets the stage for us to meet the evolving needs of our current and future customers. Next, please turn the key messages for this quarter shown on Slide 4. First, we were thrilled to announce that the Toyota project located at the Port of Long Beach in California is online producing power, hydrogen and water, including delivering hydrogen that meets the stringent security specification required for Toyota's mobility applications. At this time, we are only waiting on the receipt final fire department and related building permit required to fully declare achievement of commercial operations. This marks a tremendous accomplishment in our technology development in partnership with Toyota and evidence of the power of collaborating on innovation as we did with the Department of Energy on the initial Tri-gen development. Our innovative Tri-gen system will help Toyota achieve its decarbonization goals by producing emissions free hydrogen and electricity, and help meet United Nations' clean water and sanitation Goal number 6 by producing water every day to support their port operations. Secondly, we are making progress in growing our business in Korea. Most recently through new service opportunities, during the quarter, we signed a long-term service agreement with Noeul Green Energy and executed a memorandum of understanding that outlines a potential business arrangement that could see us take over the long-term servicing of the world's largest FuelCell park. Thirdly, the development of our carbon capture technology and partnership with EMTEC is advancing well. In August, we were very pleased to announce the extension of the terms of our joint development agreement through March 202. Fourth, in Derby, Connecticut onsite construction of our 14 megawatt project continues to advance with installation largely complete. Onsite civil construction of our 2.8 megawatt project is also advancing. We expect to achieve commercial operations on both of these projects in the fourth quarter of calendar year 2023 and upon declaring commercial operations. This will increase the size of our generation portfolio by 38%. In addition, we are advancing our plans to expand manufacturing capacity for our high efficiency, solid oxide power generation and electrolysis platform. Lastly, we continue to focus on maintaining liquidity and exercising a discipline approach to capital allocations. Our liquidity position remains strong with a cash and short-term investment position of approximately 414 million, which we were able to increase through both project financing and equity offerings during the quarter. Now, I will turn the call over to Mike to discuss the financial results for the third quarter. Mike?
Mike Bishop: Thank you, Jason, and good morning to everyone on the call today. Let's begin by reviewing the financial highlights for the quarter shown on Slide 6. For the third quarter of fiscal year 2023, we reported total revenues of $25.5 million compared to $43.1 million in the third quarter of fiscal year 2022, a decrease of 41%. Excluding the revenues generated by the sales modules in the prior year quarter, overall revenues in the third quarter were up slightly compared to the prior year quarter. Net loss was $23.6 million in the third quarter of fiscal year 2023 compared to a net loss of $29 million in the third quarter of fiscal year 2022. The resulting net loss per share attributable to common stockholders in the third quarter of fiscal year 2023 was negative $0.06 compared to negative $0.08 in the third quarter of fiscal year 2022. Adjusted EBITDA totaled negative $31.6 million in the third quarter of fiscal year 2023 compared to adjusted EBITDA of negative $20.8 million in the third quarter of fiscal year 2022. Please see the discussion of non-GAAP financial measures including adjusted EBITDA in the appendix at the end of our earnings release. Finally, the Company held total cash tax equivalent and short-term investments of over $410 million as of July 31, 2023. Next, please turn to Slide 7 for additional details on our financial performance and backlog. The chart at the left hand side of the slide graphically shows our revenue composition by line item. Looking at revenue drivers by category, service agreement revenues increased to $9.8 million from $9 million. The increase in service agreement revenues for the third quarter of fiscal year 2023 was primarily driven by two new module exchanges at the plant owned by Korea Southern Power Company in Korea and a module exchange at the plant at Trinity College. Generation revenues were consistent, period over period, increasing to $11 million from $10.9 million in the comparable prior year period. Advanced technology contract revenues decreased to $4.7 million from $5.2 million. Compared to the third quarter of fiscal year 2022, advanced technology contract revenues recognized under our joint development agreement with ExxonMobil Technology and Engineering Company were approximately $0.3 million higher and revenue recognized under government and other contracts were approximately $0.8 million lower as a result of the allocation of engineering resources during the quarter. Looking at the top right hand side of the slide, I will walk through the changes in growth loss and operating expenses. Growth loss for the third quarter of fiscal year 2023 totaled $8.2 million compared to a growth loss of $4.2 million in the comparable prior year quarter. The growth loss increased for the third quarter of fiscal year of 2023 compared to the third quarter of fiscal year of 2022, primarily due to the fact there were no new module sales during the third quarter of fiscal year 2023. The prior year period included favorable product margins as a result of module sales to Korea FuelCell company. Operating expenses for the third quarter of fiscal year 2023 increased to $33.2 million from $23.8 million in the third quarter of fiscal year 2022. Administrative and selling expenses were higher during the third quarter of fiscal year 2023, primarily due to an increase in compensation expense from an increase in headcount in support of sales and business expansion. Research and development expenses increased to $15.6 million during the third quarter of fiscal year 2023, primarily due to an increase in spending on the Company's ongoing commercial development efforts related to our solid oxide power generation and electrolysis platform, and carbon separation and carbon captured solutions compared to the prior year period. On the bottom right of the slide you will see that we finished the quarter with backlog at approximately $1 billion, a decrease of 17% compared to backlog as of July 31, 2022. The reduction in backlog is a result of a reduction in generating backlog due to the decision not to move forward with certain generation projects during the fourth quarter of fiscal year 2022, given their economic profiles, and also due in part to the timing of revenue recognition under product, generation and service agreements since July 31, 2022. This decline was partially offset by an increase in service backlog related to a new service agreement with Noeul Green Energy entered into during the third quarter of fiscal year 2023, which has a contract value of approximately $73 million. On Slide 8 is an update on our liquidity and our ongoing investment in project assets. As of July 31, 2023, we had total cash, cash equivalents, and short-term investments of $413.9 million. This total includes $303.7 million of unrestricted cash and cash equivalents, represented by the darker blue bar on the chart in the center of the slide, $32.7 million of restricted cash and cash equivalents represented by the purple bar and $77.4 million of short-term investments represented by the lighter blue bar. The short-term investments represent the amortized cost of U.S. Treasury Securities outstanding as of July 31 2023, which were purchased by the Company during fiscal year '23 as part of the Company's past management optimization efforts, and all of which are expected to be held to maturity. Looking at the right hand side of the slide, there is a chart illustrating our total project assets, which make up our company-owned generation portfolio. As of July 31, 2023, our gross project assets totaled $289.4 million, which excludes accumulated depreciation. As detailed on Slide 20 in the appendix of the presentation, our generation portfolio totaled 63.1 megawatts of assets, as of July 31, 2023. This includes 43.7 megawatts of operating assets and 19.4 megawatts of projects and process. As projects and process begin commercial operations, they are expected to contribute to higher generation revenue. In closing, I am pleased with our continued progress this past quarter. From a financial perspective, we believe that we remain well positioned to execute on our near, medium and long-term powerhouse business strategy. I will now turn the call back over to Jason.
Jason Few: Thanks Mike. I will now cover our business and operational updates in more detail beginning with Slide 10. As we have stated in previous quarters, our powerhouse business strategy serves as our framework for achieving long-term growth. I will summarize our approach. The first tenet is grow. We continue to focus on optimizing our business for achieving growth in markets where we see significant opportunities for our platform technologies, created geographic market segment and application specific playbooks that are focused on building a robust sales pipeline. Business development team is focused on moving the pipeline from prospects who executed agreements. Second is scale. Plant to scale our existing platforms by investing in extending and deepening our leadership and total human capital across the organization. From our operations, we are focused on optimizing manufacturing capacity for our carbonate platform with the goal of achieving 100 megawatts of annualized integrated onsite manufacturing and conditioning capacity. Also working to expand our solid oxide manufacturing capabilities with a goal of adding an additional 400 megawatts of manufacturing capacity in the United States, we believe that legislation enacted and being contemplated around the world will over time serve as a catalyst to support the acceleration of adoption of products like ours and to ultimately drive down costs. Third is innovation. For our 50-year history, we have never stopped innovating. Shown on an earlier slide, we have hundreds of patents granted or pending in jurisdictions around the world. We believe our technology and our culture provide the opportunity for our participation in the growth of the hydrogen economy and carbon capture markets and will enable us to deliver on our purpose to enable the world powered by clean energy. They're working to develop diversify revenue streams by delivering a range of solutions and services that exploit the multi-featured capabilities of our platforms as exhibited by Tri-gen and support our four strategic focuses intended to advance the global energy transition. Those strategic focuses, our distributed power generation, distributed hydrogen, electrolysis and hydrogen storage, and carbon recovery and capture solutions. We are making good progress in the execution of our strategy, and I will discuss specific highlights in more detail on the following slides. Please turn to Slide 11. We had a very exciting announcement during the quarter as we are growing and strengthening our presence in Korea by developing relationships with two domestic clean energy electric utilities. The first is the long-term service agreement with Noeul Green Energy whose plant has a total output of 20 megawatts using 8 SureSource 3,000 fuel cell platforms. Under the terms of the agreement, FuelCell Energy will oversee the operation and maintenance of these 8 SureSource 3,000 fuel cells over the next 14 years. This project is expected to have a total contract value of approximately 73 million, which is added to our total backlog. In addition, we signed a memorandum of understanding with Gyeonggi Green Energy or GGE. GGE has the largest fuel cell power platform operating anywhere in the world. GGE Plants has a total output of 58.8 megawatts using 21 SureSource 3000 fuel cell platforms. The MOU provides a framework for negotiating the proposed business relationship between GGE and FCE, including future module replacement and service as well as developing new opportunities in Korea. We are currently negotiating the detailed terms of that proposed agreement with CGE. In addition, we see future opportunities for operations and maintenance agreements with a large potential market of over 100 megawatts in Korea. We are focused on winning these opportunities and look forward to providing updates on our progress in Korea in future quarters. Please turn to Slide 12. We continue to advance our decarbonizing power solutions. At the end of the quarter, we announced an exciting development in our partnership with EMTEC, which is part of our innovation strategy. We have extended the term of our joint development agreement for carbon capture technology through March 2024. This extension is intended to provide the opportunity to continue, derisking the Generation 2 Technology fuel cell module demonstration prototype and to joint marketing and sales efforts to inform development of a new business framework between the parties beyond the current joint development agreement structure. We are continuing to finalize the engineering cost element of a potential demonstration of the technology with EMTEC. We are extremely pleased that our jointly developed carbon capture technology has been found to be feasible for the commercial use applications we are targeting. We are excited about the promising potential of this technology to capture CO2 emissions from industrial and commercial exhaust stream with the goal of helping to solve one of the world's biggest environmental challenges. The final investment decision on the demonstration project is expected later this year. Next, our two projects in Derby, Connecticut continue to progress on schedule and are expected to soon contribute meaningful growth to our generation portfolio. Onsite construction of the 14 megawatt project is continuing to advance, and we have largely completed the installation of the majority of the balance of plant components as well as the 10 modules required for the project. Onsite construction of the 2.8 megawatt project is also advancing well and we expect to achieve commercial operation of both these projects in the fourth calendar quarter of 2023. Moving to our focus on producing hydrogen, we continue to invest in product development and manufacturing scale up for our two solid oxide platforms, power generation and electrolysis. To enable our growth, we're expanding our Calgary manufacturing operations with the goal of increasing the capacity of the facility from 4 megawatts to 40 megawatts per year of solid oxide electrolysis sale production. In addition, we see the potential to further increase our annual production capacity to up to 80 megawatts by leasing additional space and investing in various process optimizations and send it to increase throughput and yield. We have hired and trained additional staff for a three shift production operation to support the initial planned expansion to 40 megawatts, and we need to add additional staff as required in the future to realize the potential 80 megawatts of annualized solid oxide electrolysis production capacity. Please turn to Slide 13. In terms of delivering hydrogen to our customers, we offer two solutions. Our Tri-gen platform, which has just been completed for Toyota at the Port of Long Beach in California, as well as our solid oxide based electrolysis platform. First, with regard to our Tri-gen solution, we deploy our innovative net 2.3 megawatt Tri-generation platform to produce emission free hydrogen electricity and water every day. In the Toyota example, the hydrogen produced will be used to fuel Toyota vehicles, while the electricity produced will be sufficient to power the Toyota Logistics Service Center, with additional electricity being sold into the grid, and the water that is generated will be used for car washing. Given the use of carbon negative renewable natural gas for this project, this installation demonstrates our ability to generate renewable hydrogen at the point of consumption, avoiding the cost and emissions associated with delivery of hydrogen to remote users. We see tremendous potential to apply our Tri-gen technology and other locations utilizing its faith that is the equivalent of three NBA basketball courts, providing energy that is distributed at the point of consumption and avoiding most, if not all, of the permissions and permitting required for centralized production and distribution infrastructure, and we look forward to pursuing those future opportunities. Turning to our solid oxide electrolysis platform, we believe solid oxide presents one of the best opportunities to minimize overall costs, while maximizing efficiency and that our platform will give more organizations the option to implement a flexible energy strategy. We will touch more on our design attributes and differences in a moment. While our Tri-gen platform benefits from reducing the cost of hydrogen through the cell of electricity, solid oxide electrolysis this is an ideal solution for geographies that have low to no cost power and hydro, strong wind, and or sun covered because most of the cost of hydrogen produced by electrolysis is related to the cost of input power. Efficiency is one of the most effective ways to lower hydrogen costs, and we believe FuelCell Energy's solid oxide platform is among the most efficient electrolysis technology available. Our platform can generate 600 kilograms a day of hydrogen without any incremental heat source, only using a 1.1 megawatt power and adding a heat source just increases the benefits of our platform efficiency. As an example, process heat from a nuclear power plant further increases platform efficiency, lowering the required power to produce the 600 kilograms a day of hydrogen to 1 megawatt. A low temperature electrolyzer would require about 35% more power to produce the same amount of hydrogen. Turning to Slide 14. I would like to emphasize how FuelCell Energy solutions are highly differentiated versus other solid oxide technologies. Our first generation high-efficiency solid oxide product comes in two different configurations, one is our 250 kilowatt power generation platform, and the second is our electrolysis platform capable of producing 600 kilograms of hydrogen per day. FuelCell Energy solutions for a number of key performance advantages. Our platform is compact and light weight. Our design keep cost low and avoid supply issues with minimal needs for rare earth minerals and no use of platinum group metals. Our integrated packaged product provides complete solutions for our customers. Our electrolysis platform is fed with water, not steam. Steam is generated on board using internal heat and electric power. Our power generation platform is capable of combining our operations at up to 80% efficiency. And our power generation platform is flexible in its ability to operate on various fuel hydrogen, biogas, fuel blend or natural gas. All of these different traders give us confidence in our ability to grow in the solid oxide market. Our thin cell architecture leads to a very low stack weight per kilowatt of power rating, which translates directly to lower material costs, and which also provides benefits in faster heat up in recent time. As we increase our solid oxide production capacity, we see significant market opportunities in significant hydrogen generation applications, particularly given the cost advantage of distributed production. We also see market opportunities in power generation as low carbon solutions increasingly displaced gas and diesel generator. In addition, renewable energy and nuclear power represent CN markets where solid oxide electrolyzer cells can be operated in tandem with power generation yielding high efficiency hydrogen and increasing overall efficiency and flexibility. Before moving to Q&A, we'll conclude with takeaways from slide 15. I'm excited about how over the last four years our company has navigated our journey. We are commercializing technology and advancing new technologies toward commercialization. We believe that our technologies will have a positive impact on our world. We are demonstrating the commercial value of our technology with our Tri-gen platform operating for Toyota and Long Beach we are delivering commercial results for our customers and for the planet. We are succeeding in our international growth efforts, most notably in Korea during the third quarter. We are making progress in developing advanced applications for our platforms specifically through our collaboration with EMTEC on carbon capture technology. We are making progress on large projects, including the Derby, Connecticut project, which we expect to achieve commercial operation during calendar year 2023. In addition, we're making progress an increasing manufacturing capacity for our high efficiency, solid oxide power generation and electrolysis platform, which we believe will give us a differentiated position in the market. We have remained focused on discipline capital allocation and have increased our liquidity through both debt and equity financing. We believe we are positioned for growth. We believe FuelCell Energy is well positioned to capture market opportunities over the coming years and deliver enhanced shareholder returns over the long run. I will now turn it over to the operator to begin Q&A.
Operator: [Operator Instructions] And your first question comes from the line of George Gianarikas from Canaccord Genuity. Your line is open.
George Gianarikas: Maybe just to start, first question, you mentioned in the press release that you're examining additional facilities for the build of your solid oxide platform. Could you just help illuminate a little bit of additional interest that you've seen and what gives you the confidence to continue to build out the capacity there?
Mike Bishop: George, good morning, and thank you for joining the call, and thank you for your question. Yes, we continue to use the interest that we're seeing from customers and the pipeline that we're building as how we think about the need to expand capacity for our solid oxide manufacturing. In addition to that, we continue to look for ways in which we increase our capacity and our existing footprint or making small additions to our existing footprint even in Calgary. So, we're -- today, we believe that we can get to 80 megawatts of capacity from originally where we thought we were at 40 just based on additional process optimizations and things that we're doing at that facility. So, our decisions will be driven by demand and the pipeline that our business development team is building, but we're seeing really strong support for solid oxide for power gen and for electrolysis.
George Gianarikas: And do you still expect a reversibility to come into the platform in 2027?
Mike Bishop: We do. We believe that that's going to be a significant opportunity for us in the longer term as energy storage continues to be a more important part of the energy transition as we continue to add more and more intermittent technologies to the grid. Our view is that hydrogen works as an excellent energy store, and that it's far more practical for long duration energy storage versus mineral-based solutions. And so, our ability to leverage reversibility of our platform, so the same stack that's going to make hydrogen is the same stack we can reverse and feed that hydrogen to produce power, we think is going to be a real opportunity for us.
George Gianarikas: Maybe just a last question. I'm wondering if you could share your thoughts on the upcoming decision by treasury to give us more detail around additionality, excuse me, deliverability and matching and your thoughts as to how that decision will turn out? Thank you.
Mike Bishop: Yes, so just, I think it was on the seventh, the Deputy Secretary of Treasury said that they plan to clarify more of the rules by the end of this calendar year. So one, I would say we're excited that there's, we're going to get to real clarity around the rules. As a company, we've continued to be in a position to leverage the ITC and we've demonstrated our ability to attract tax equity as part of the way in which we recycle cash in our business. We think that the treasury department and overall the administration is really trying to listen to the voice of the market in terms of how it's making these decisions. And so, when you think about things like, additionality or match ability, they're really trying to get this right, we believe, and we think that the ultimately get to the right decision and put together more of a transition path than kind of a clear hard determination one way or another in terms of how they're going to account for whether it's additionality or matching.
Operator: Your next question comes from the line of Manav Gupta from UBS. Your line is open.
Manav Gupta: Good morning guys. I actually quickly wanted to focus on this SRIA study from California that came out on Friday that's calling for like 90% emission reductions for 2045. It lists a number of fuels including hydrogen, so it's pretty bullish on hydrogen. And I'm basically trying to understand now that California, it seems to be very supportive of alternate fuels. Does that change your plans? And also in the report, it's basically saying a book and claim would apply to even green hydrogen, which is they're encouraging the sale of green hydrogen within the state of California. That's when you can get the credit. So, if you could talk around your plans of California based on what we are seeing with SRI, which basically would support alternate fuels in a big way in the state of California?
Jason Few: Good morning and thank you for your question. And, also, you wrote a pretty nice report on this yourself that just came out. So appreciate that. Look, we are strong supporters of using biofuels, not only for power production, which we have done on a number of different installations in California. We support the methodology in terms of how you think about using alternate fuels to produce green hydrogen, which is exactly what we are doing with our Tri-generation platform at the Port of Long Beach. So, we're really supportive of this move that they are making. And as you know, as a company from a carb standpoint who is driving this movement in California, we have been carb certified for a long time. We are the first fuel cell provider to get there. And so, as we think as air quality issues and the real focus around things like SOx and NOx and other particulates coming back into focus, we think strong support of alternate fuels, our platform that doesn't combust those fuels, so we don't produce SOx and NOx and other particular just, shows stronger support for what California is trying to do. So, we are really excited about it, and we think it's a real positive. And, we think that opens the door for us from a distributed power generation. It opens the door for more opportunities around Tri-generation to actually produce carbon neutral power, green hydrogen, and water like we are doing in California. So we think it's a very positive thing.
Manav Gupta: Well, thank you for a very detailed response and congrats on getting the Tri-gen platform up and running. We hope it's first of many because those things really help to decarbonize at a faster pace. So I will turn it over. Thanks again.
Operator: Your next question comes from the line of Ryan Pfingst from B. Riley Securities. Your line is open.
Ryan Pfingst: Hey. Good morning, guys. On product sales, can you provide any color around demand? And any progress you might be making with new customers potentially outside of Korea?
Jason Few: Ryan, good morning, and thank you for the question. Yes, as we have indicated, as a company, we have begun to really focus on creating a better balance between our power purchase agreement opportunities that we drive, and product sales. So we are building a pipeline that enables us to do both of those things because we think continuing to offer multiple ways for our customers to purchase from us is a benefit to us as a company. But we see strong pipeline builds not only in our traditional markets, but as we expand into new markets outside of kind of our core. We are seeing strong product demand and those continue -- those generally tend to be more product sale focused markets as opposed to PPAs. And so, we think that over the coming quarters, you will see more from us on product sales as an overall opportunity.
Ryan Pfingst: That's helpful. And then turning to the generation segment, can you talk a little bit about the economics of the Derby projects or maybe at a higher level how they might help the profitability of the generation segment as a whole?
Jason Few: Sure. I think maybe Mike could give you a sense of how we think about margin on our generation business and what we've seen happen over the last several quarters and certainly this quarter. But Mike can walk you through that.
Mike Bishop: Sure. Good morning Ryan, and thanks for joining the call. So yes, as we think about the two Derby projects that that will add meaningful generation revenue, right now, today we're producing about 44 million on an annualized rate. We did about 11 million of generation revenue this quarter. So, 44 million today, but adding obviously the large Derby project, another 14 megawatts will make a meaningful increase there. When we think about profitability of the generation portfolio, we target EBITDA margins in our generation portfolio of between 40% to 50%, when you back -- if you look at just last quarter's results, when you back out the Toyota one-time charges as well as depreciation, we're in the 46% range right now. So, we would expect that to continue as we add additional operating assets in the portfolio.
Operator: [Operator Instructions] Your next question comes from the line of Eric Stine from Craig-Hallum. Your line is open.
Eric Stine: So maybe I'll just stick with generation, curious, so now with Derby coming on, I think you'll be at what 63 -- you'll be around 60 megawatts. And I know and this goes back a while, so not, this isn't necessarily a target you've given, but at one-time you had kind of a 50 to 60 megawatt area where you thought you'd breakeven. Obviously, you've got a lot of irons in the fire, so you've taken on more expenses. Do you kind of have high level megawatts in generation portfolio breakeven number?
Mike Bishop: Good morning, Eric. This is Mike. So, historically, if you go back four plus years ago, we were really centering the business around the generation portfolio with a meaningful backlog of projects that we had. So to your point, we've been working really hard at getting those projects up online. We'll be north of 60 megawatts after Derby comes online. And back at that time we were focusing the business on getting to EBITDA positive around the generation portfolio. Fast forward a couple of years with the energy transition now being here in a big way with global support around what we're doing. We've accelerated investments around our different technologies and Jason talked about both solid oxide, but also carbon capture that has increased both our operating expenses and CapEx, which has pushed out our profitability into the future. But we made that trade off in order to get these technologies to market. When we look at the external targets we've put out there. We're targeting getting over 300 million of, of revenue in 2025 and over a billion by 2030. We're still confident in those targets and with the increased revenue we would expect profitability to come as well.
Eric Stine: And I mean, is it something where we should think about, I mean is there a time in the future, say when carbon capture, when maybe that has progressed, you've gotten through the pilot project program where that spending maybe tails off a little bit? I mean, I know this is all dependent on what your spend looks like. So maybe how do you think about those things? Or do you think that you're going to have kind of this elevated spend for the well foreseeable future or longer term than that?
Mike Bishop: So, when we look at the R&D spend, we ramped that up here over the last couple years. We have not put out, guidance of when that would come back down. But clearly, as we've talked about, we're investing in, in first article products, that we're building here in our Connecticut facilities. And as those become commercial, that will shift up to cost to sales, which would likely drive down research and development expenses in the future. But we haven't put out specific guidance around that. And then just going back to the question around megawatt guidance, as we look at the revenue potential for different products that we have out there now, it's different math than just dollars, dollars per megawatt. We can potentially see, higher revenues, particularly around a project like Tri-gen that has multiple attributes coming out, not just power generation, but the hydrogen and water. And then obviously with government incentives out there around like the PTC credit that was not there, a couple of years ago, potentially higher revenue opportunities for those projects than just a dollar per megawatt.
Operator: And our final question today comes from the line of Noel Parks from Tuohy Brothers. Your line is open.
Noel Parks: Just had a couple. Talking about the generation business and more recent investments in new technologies. Can you just talk about sort of the state of your business momentum with generation, new customers, anything has that shifted in terms of how you characterize the source of customers that are being more aggressive, whether they're moving any faster or as with so many things waiting for sort of more of the IRA and infrastructure guidance?
Jason Few: Noel, thank you for your question. So as we think about what we're seeing with customers, and you think about what we've just done with Toyota, well, many of the things that we're doing are new applications in the way in which we're using our platform. What's important to note about that is that it's our same existing platform. We're just extending the capabilities of that platform to deliver additional value. So, the same carbonated platform that we commercialized in 2003 is the same platform we deployed at the Port of Long Beach in support of the Toyota opportunity. Yet, we're delivering hydrogen and water from that platform in addition to power. We see that as a great example of where customers will now be able to see a real commercial implementation of that platform. And we think that will help us drive additional opportunities around the Tri-gen platform as an example. We are seeing, customer interest and way in which we're building our pipeline growing even without the clarity around IRA and especially when you think about globally, because, we're not just focused in the U.S. but you've got programs in the EU, you've got programs in Korea, all of which drive strong tailwinds that, that really support the business that we're in. And when you think about what's really happened, net zero in countries around the world have been legislated in. And so companies are going to find ways to get there, and we think that you will see even more states in the U.S., take more progressive attitudes like what you are seeing in California, like what we just talked about, and the expansion of, and support for renewable fuels, we think that all serves us really well to help to drive our business, especially some of the advantages we have. For example, when you think about renewable fuels, the fact that we can use renewable fuels directly coming out of an anaerobic digester as opposed to needing those fuels to get the pipeline quality gas as an example, which we think gives us an advantage, lowers the cost of the fuel and puts us in a position to deliver, carbon neutral to carbon negative power. So we are really excited about that. And as we look at our pipeline we are seeing growth happening despite of the IRA. But there is no question that customers really want to understand in the U.S. how to really fully maximize the IRA, but we will continue to take advantage of the investment tax credit. We think we're in a really strong position around a project like Toyota to take advantage of the production tax credit. When you think about the incremental benefits, we are a U.S. manufacturer. We largely use U.S. based content in our platform. And we use labor that are at prevailing wages, so all of those things continue to ladder up as just incremental benefits to bring down the cost for the customer, and to create a different set of economics for us. Getting, there are instances where you can get almost up to 50% through the IRA based on the way in which we are configured as a company. So, we are pretty excited about that.
Noel Parks: Great. Thanks. And, I just wanted to turn to the ExxonMobil JV. And I was just curious about a couple things, I guess, just sort of the working relationship. They are a huge company and sort of their internal process. And maybe how it affects progress in the JV, you have had a number of extensions of the agreement. And I guess just even more on a practical level, do you have any thoughts about the process that's left before -- in the pipeline before? There'll be more info about, for example, the timing of plans at Rotterdam for a capture installation there.
Jason Few: No. Thank you. I don't want to speak on behalf of Exxon, but I think it's clear from their public pronouncements that, they are committed to their low carbon business. Our technology is directly supportive of what Darren has talked about and Dan Ammann have talked about in terms of their low carbon business. And so, we feel really good about that. They have been clear that they expect to get to FID decision later this year on a demonstration project. So, we think that will happen. So, I think you are seeing Exxon operate very differently with their low carbon business. And they have -- and we think that, that will be benefit for us as well. And so, they have got a strong commitment there and we are excited about it.
Operator: And this ends our question-and-answer session. I will now turn the call back over to Mr. Jason Few for some final closing remarks.
Jason Few: Rob thank you. We want to take a moment to acknowledge and honor the victims' families and communities impacted by September 11th. As a Connecticut based company today, our thoughts are with those impacted in our community. As a company, we will continue to execute on our powerhouse business strategy with the goal of delivering growth and optimizing returns. Thank you all for joining the call today and for your interest in FuelCell Energy. We look forward to updating you again next quarter and have a great day.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.